Operator: Good morning, everyone, and welcome to Strayer Education, Inc. Second Quarter 2014 Earnings Conference Call. This call is being recorded. For those of you who wish to listen to the conference via the Internet, please go to strayereducation.com, where the call will be archived. With us today to discuss the results are: Robert Silberman, Executive Chairman for Strayer Education; Karl McDonnell, Chief Executive Officer; Mark Brown, Executive Vice President and Chief Financial Officer; and Daniel Jackson, Senior Vice President and Treasurer. [Operator Instructions] I would like to remind everyone that today's press release contain, and certain information on this call may contain statements that are forward-looking and are made pursuant to the Safe Harbor provision of the Private Securities Litigation Reform Act. The statements are based on the company's current expectations and are subject to a number of assumptions, uncertainties and risks that the company has defined in the paragraph on forward-looking statements at the end of its press release and that could cause the company's actual results to differ materially. Further information about these and other relevant uncertainties may be found in the company's Annual Report on Form 10-K and its other filings with the Securities and Exchange Commission. Copies of the filings and the full press release are available online and upon request from the company's Investor Relations department. And now, I'd like to turn the call over to Robert Silberman. Mr. Silberman, please go ahead.
Robert S. Silberman: Thank you, Ben, and good morning, ladies and gentlemen. Before I turn it over to Mark and Karl to run through our financial and operational results for the quarter, I just want to say on behalf of our entire Board of Directors how much we appreciate Mark Brown's dedication and stewardship as our CFO over these last 13 years. As we announced this morning, Mark will be retiring March 1, 2015. He will be replaced by Dan Jackson, our current Senior Vice President and Treasurer, who I believe most of you have met, but if not, you'll certainly get to know him over the next 8 months. Karl and I will miss Mark, but we have tremendous confidence in Dan, who's 11 year tenure at Strayer, includes stints not just in finance and strategic planning, but also as a campus director and Regional Vice President of Operations. And except for his tennis ability, Dan is a worthy successor to Mark in all respects. Q2 was one of our strongest quarters over the last couple of years, both academically and financially. A lot of the initiatives we've been working on are starting to bear fruit and I know Karl will provide more details on some of the specifics. But with that, Mark, you want to run through the financials?
Mark C. Brown: Sure, Rob, and good morning, everyone. I'll start with revenue. Revenue for the second quarter of 2014 was $112.7 million, a decrease of 15% from 2013. The decrease is primarily driven by lower enrollments, which were down 10% in our spring academic term, and lower revenue per student, which declined by 4.7%. The decline in revenue per student is consistent with our expectations, as our lower tuition for new undergrads gets layered into our base. Income from operations is $24 million for the second quarter of 2014, compared to $26.3 million for the same period in 2013, a decrease of 9%. Operating income margin was up 140 basis points to 21.3%, compared to 19.9% for the same period in 2013. Net income for the second quarter of 2014 was $13.7 million, compared to $15 million for the same period in 2013, a decrease of 9%. Diluted earnings per share also decreased 9% to $1.29, compared to $1.42 for the same period in 2013. Diluted weighted average shares increased slightly to 10,623,000 from 10,535,000 for the same period in 2013. Turning our attention to the results through the first half of the year. Revenues for the 6 months ended June 30, 2014 decreased 15% to $229 million, compared to $269 million for the same period in 2013, principally due to lower enrollment, which was down on average 12% and lower revenue per student, which was down about 3%. Income from operations is $49.9 million compared to $56.2 million for the same period in 2013, a decrease of 11%. Operating income margin was up 100 basis points to 21.8%, compared to 20.8% for the same period in 2013. Net income was $28.5 million for the first half of 2014, compared to $32.2 million for the same period in 2013, a decrease of 12%. Diluted earnings per share was $2.68, compared to $3.01 for the same period in 2013, a decrease of 11%. Diluted weighted average shares outstanding decreased slightly to 10,602,000 from 10,693,000 for the same period in 2013. At June 30, 2014, the company had cash and cash equivalents of $136 million. We generated $45.2 million from operating activities in the first 6 months of 2014. That compares to $51.6 million during the same period in 2013. Capital expenditures were $2.3 million for the 6 months ended June 30, 2014, compared to $5 million for the same period in 2013. We still expect our CapEx to be in the neighborhood of $10 million on a full year basis. Regarding our credit facility, we had 121 -- $120 million outstanding on our term loan and no outstanding balance under our revolving credit facility at June 30, 2014. Finally for the second quarter of 2014, our bad debt expense as a percentage of revenues improved to 3.2%, compared to 4.3% for the same period in 2013 as Karl's team did an outstanding job with collections this quarter. Rob?
Robert S. Silberman: Thanks, Mark. Karl, you want to hit the operational highlights?
Karl McDonnell: Sure. Thank you, Rob, and good morning, everyone. First just a couple of comments on the second quarter. We were very pleased with 140 basis point gain in our operating margin, which follows last quarter's 40 basis point increase. Those increases marked the first time in more than 4 years that we've grown our operating margin on a year-over-year basis in successive quarters, which clearly is an important milestone for us. The improvement in our instructional and educational support line is primarily the impact of our restructuring. But as Mark just indicated, it also includes significant savings from our bad debt expense. We also saw a substantial decrease of nearly 20% in our marketing expense per new student, as we were able to generate some efficiencies in our various advertising channels. I also want to reiterate that we remain on track to achieve the full $50 million of operating expense savings we targeted for 2014, notwithstanding the fact that we have several thousand more students than we anticipated when we finalized our restructuring plans last year. Turning to our enrollment results for the summer academic term. Our total student population decreased 6% to 36,403 students, representing the fourth consecutive quarter that our overall enrollment variance has improved. The improvement was driven by both new students, which grew 2%, or 8% excluding the 20 Midwest campuses that we closed, as well as through higher student retention, as our continuation rate improved 220 basis points from last year, which is nearly double the increase we had last quarter. The improvement in retention is a result of our ongoing efforts to improve the student experience, including our focus on student engagement. In addition though, based on improvements we've seen in first year cohort continuation rates, it's also clear that the Graduation Fund is beginning to have a favorable impact. Our national accounts continue to outperform the broader University's results. New students from national accounts grew 22%, which is up from last quarter's 19% increase, and total enrollment increased 8% year-over-year, and that represents the fourth consecutive quarter of year-over-year growth for the national accounts segment. Also for the summer term, we implemented an 8% tuition increase for new students attending the Jack Welch Management Institute, and new JWMI students increased 66%, while total JWMI enrollment grew 51%. JWMI's continuation rate and Net Promoter Scores remain the highest in the University. One quick point on student mix. Graduate students continue to comprise 36% of our total student population, which is unchanged from last quarter. Lastly, although it is not our practice to provide forward-looking guidance on our enrollment, we do recognize the implementation of our Graduation Fund and reduced undergraduate tuition have made it more difficult to model our future performance. However, based on some learnings that we've gathered over the last 3 to 4 quarters, we feel that we can provide you now with some additional clarity. Last quarter, I indicated revenue per student would decline 4% to 5% on a full year basis for 2014. And when you include our summer enrollment results, I can reiterate that range continues to represent our best forecast. Assuming our current enrollment trends continue, we would expect a similar 4% to 5% decline in revenue per student next year. That decline, however, would be offset by year-over-year growth in total enrollment, which if current trends continue, would likely occur be by the second quarter of 2015, followed by revenue growth 2 to 3 quarters later. That would result in revenue for 2015 being down in the low-single digits, again assuming our current enrollment trends continue.
Robert S. Silberman: Overall revenue for the company.
Karl McDonnell: Yes. And with that, then we'd be happy to take any questions.
Operator: [Operator Instructions] Our first question comes from the line of Jason Anderson of Stifel.
Jason P. Anderson - Stifel, Nicolaus & Company, Incorporated, Research Division: On the cost reductions, it seems like you're running at a greater pace than the $50 million. Am I seeing anything wrong there, or is it should we look for this kind of run rate in decline in operating expenses through the rest of the year?
Karl McDonnell: There were a couple of unique opportunities to generate some efficiencies Jason in the second quarter. Generally we go into every quarter planning and assuming that we're going to spend our full budgeted marketing dollars. And this particular quarter, our teams were really on an opportunistic basis, able to generate some efficiencies. Those may or may not occur in future quarters. Again our plan is to spend our full budget. We were pleased as Mark noted, with the strong collections we had with bad debt. And I think that's really a function of the quality of students that are matriculating into the university. We think the bad debt is probably within a reasonable range of where it would run. It will continue to bounce around a little bit. So I'm not sure that the run rate in the second quarter represents a full year opportunity to reduce expenses sooner. But again, to the extent we're able to get efficiencies, we always look to do that.
Robert S. Silberman: Yes. And the other thing I would add is, we undertook this at the point last year where our enrollment had been shrinking, frankly, for a couple of years. And we delayed doing this for a while. And so when you do end up essentially resizing the university around a lower enrollment base, there's obviously some opportunities. But as Karl suggested, we're now looking slightly over the rise into a situation where that enrollment may indeed be growing. So our focus is on academic quality, and the cost structure tends to be a secondary derivative from that. We're comfortable with the University that we build here and our ability to teach students well. So that the numbers, I think will, as Karl said, gyrate around that $50 million run rate.
Jason P. Anderson - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And then just a little more on your color there on the 2015, I believe you said total turning positive in Q2 of '15. I mean, you kind of said that you kind of didn't, but -- or we should assume the kind of trends we're seeing here, is that what's big tent to that assumption, either on the continuation rate, as well as the new?
Karl McDonnell: Yes, when I say that based on our current enrollment trends continuing, that would represent the trends that we've seen in new students as well as retention. But as I said, it assumes that those trends do, in fact, continue.
Jason P. Anderson - Stifel, Nicolaus & Company, Incorporated, Research Division: Right. And there's not an acceleration happening, maybe towards the end of this quarter or early into the current quarter?
Robert S. Silberman: Jason, we don't comment on future enrollment results. I mean the students enroll when they enroll. And we're just not in the business of trying to manage it or capture it from the standpoint of producing a certain quarterly result. What we have tried to do over the last 13 years is, because the model can be mathematically fairly transparent, it just provides you with a set of inputs to say, if this happens, this is what it will look like. When we introduced the Graduation Fund last summer, we introduced a variable that we just -- because we hadn't used it before, and it can vary within the quarter, in our judgment made it not appropriate to provide -- essentially preannounce our quarterly results. And so, what Karl is doing here is providing mathematical clarity. And you should be able to somewhat predict, very up or down based on the enrollment results. But it's not a prediction of future enrollment results.
Operator: Our next question comes from the line of Sara Gubins of Bank of America Merrill Lynch.
Sara Gubins - BofA Merrill Lynch, Research Division: It sounds like the pricing activity and scholarships are beginning to have some of the impact that you were hoping. Is the plan to kind of stick with the current approach? Or do you see any changes in the way that you think about scholarships or tuition level?
Karl McDonnell: First, on the Graduation Fund. Sara, we always said that we thought it would take at least a year before we would start to see some impact from the Graduation Fund, because it will take obviously, some amount of time for students to begin earning free classes. And as I said, we are seeing some improvements in what we think of as the first year progression of new students as they enroll. So we definitely plan to keep the Graduation Fund. And when we reduce the undergraduate tuition for new students, again that reflected a, really a several year series of tests on tuition pricing. And the point that we landed on, I think, represented the consensus within the organization that, that was the tuition level that was needed to remove what was becoming a barrier for many new students. And so we're confident that that's now at the right level as well.
Robert S. Silberman: And the only thing that I would say, Sara, is that at the undergraduate level, it's not a scholarship. We've reduced our undergraduate tuition. Scholarship in what is essentially an entity that's owned by a profit making entity is nothing more than a tuition discount. It has an academic name, but that's just essentially the effect. Our view was rather than do that, sort of tactically and sporadically to try and drive demand, that we wanted to have a tuition level for the undergraduate student, which was relevant and commensurate with the economy that we were operating in, and it doesn't seem to be getting a whole lot better. Its firming, but it's not, I wouldn't say accelerating. So we're quite comfortable with that undergraduate tuition level. And the Graduation Fund is truly a retention-oriented, graduation-oriented incentive. And as Karl said, it’s starting to have the impact that we would expect it to have.
Sara Gubins - BofA Merrill Lynch, Research Division: Great. And then just switching gears a little bit. Most of the campuses that you have closed are now seeing students studying online. I'm wondering if given that move if you think that there's potential for further campus closures, or if you now done the bulk of them? In addition to the ones that you've already announced.
Karl McDonnell: No Sara. We have no plans to close any additional campuses. And in fact, we feel that the campus network that we have is an important part of being able to offer students a flexibility to either attend online or on-ground.
Operator: Our next question comes from the line of Jeff Silber of BMO Capital Markets.
Jeffrey M. Silber - BMO Capital Markets U.S.: I just wanted to drill down a little bit on the new student trends. Did you see any difference between your graduate and undergraduate students, and also for those students that attend either at your campuses or online?
Karl McDonnell: Jeff, I don't have the online, on-ground breakout in front of me. I believe that our overall graduate students declined in the low-single digits, on a year-over-year basis.
Robert S. Silberman: He's asking about new.
Karl McDonnell: Yes, I'm sorry, that's what I meant, new graduate students. And so undergraduate would've been a little bit better.
Jeffrey M. Silber - BMO Capital Markets U.S.: Okay, great. And just switching gears to the Jack Welch Management Institute. Did you say you implemented an 8% tuition hike?
Karl McDonnell: We did. Yes.
Jeffrey M. Silber - BMO Capital Markets U.S.: Okay. It just sounds kind of high. Can we just get a little bit more color why 8%?
Karl McDonnell: Well, our view is that the JWMI MBA program is a premium brand, and we think it competes well across the full spectrum of MBA programs that are available to students. The feedback from our students has been incredibly positive including the percentage of students who indicate that they're getting salary increases and/or promotions. The Net Promoter Score is very high, and among the highest of any industry, frankly, that we look when we benchmark our Net Promoter Score data. And so the pricing reflects the fact that we see it as a premium brand, and we see it as a program that's adding tremendous value for students.
Mark C. Brown: And Jeff, I'd also add, although it's a sizable increase, the overall price of the program is still significantly below the programs we think we compete against at traditional universities in their Executive MBA programs. So it's -- the size of the increase shouldn't confuse you as to the overall value of that product, vis-à-vis the traditional university executive, the MBA programs, which for these students we compete against.
Jeffrey M. Silber - BMO Capital Markets U.S.: Can you remind us roughly what that price is and how many students you have?
Mark C. Brown: It's about $34,000 for the program, and they ended the quarter with just under 700 students.
Operator: Our next question comes from the line of Corey Greendale of First Analysis.
Corey Greendale - First Analysis Securities Corporation, Research Division: Just a couple of questions. Since the model is relatively mathematical, I thought you guys had some thoughts in 2015. Could you provide some thoughts on the cost structure? Do you see that kind of marginal revenue decline in '15? What that means for operating margin?
Karl McDonnell: Well, I would expect in a period where we eventually are getting to a revenue growth on a year-over-year basis, Corey, that we would begin to see operating margins grow. We've done a good job this year on our cost. We baked in that $50 million as a result of the restructuring. And as I said in my comments, we've done that notwithstanding the fact that we have several thousand more students. So those increased instructional variable costs had been offset with efficiencies we found in other areas. So my view on next year's expense base is barring large changes in enrollment, in future quarters we keep expenses relatively flat.
Mark C. Brown: And then Corey, I should emphasize that's with regard to the base university. There are initiatives we're looking at, which would be investments. Some of which would run through the operating expense line, and could have an impact on margins in much the same way in the past as we open new campuses would have an impact on margins. So it's -- what Karl has described is absolutely accurate with regard to our University. But it shouldn't be taken as an indication that we couldn't have varying margins based on the level of investment that we may have in other areas.
Corey Greendale - First Analysis Securities Corporation, Research Division: Understood. I appreciate that clarification. And then on the bad debt, I just want to clarify, I think you said that a similar range should be sustainable, it was meaningfully lower than it has been in this quarter, so you really think it is kind of low that 3% range is sustainable, or more like the 4% range?
Karl McDonnell: Yes, I think it will be in the 3% to 4% range.
Corey Greendale - First Analysis Securities Corporation, Research Division: Okay. And at the risk of asking perhaps a slightly silly question. To what do you attribute the real -- the strong results in the account, the national accounts business? And specifically, I was just wondering, I believe there were reports that when the Arizona State Starbucks thing happened, that Starbucks eliminated Strayer from their program. Can you verify that, that's right? And are expecting any material real impact from that?
Karl McDonnell: There will be no material impact. We've really very much enjoyed working with Starbucks. We have a few hundred of their students, and have had a few hundred of their students over the last several years. I think one important note on the Starbucks Arizona State arrangement is the Starbucks benefits really only begin to apply and kick in for their employees in their third and fourth year, their junior and senior year. And they essentially get no benefit in their first 2 years, their freshman or sophomore year. And when we've done just some comparisons, it would appear that our negotiated corporate discount with Starbucks would be more affordable for their employees than the discount that's being offered by Arizona State. So I suspect we may continue to serve some of their employees. They notified us that, for the purposes of their employees participating in this benefit on a go-forward basis, they would allow the students to remain with us through 2015. But as I say, it wouldn't surprise me given the structure of that program that we would continue to serve some of their employees in the first parts of their college experience. And then the other part of your question, around the strength of national accounts, I'll just attribute it to the fact that it's a very strong area of focus for us. I think we're uniquely positioned in the way that we manage those accounts, and our campus network really allows us to activate and deepen those relationships in a disparate fashion so we've got, 80 different sets of ambassadors, if you will, in these communities working with our national account partners and forming these relationships. We did also add 7 new accounts in the last quarter. So I think it's just the focus of the fact that we put a great deal of emphasis on serving those students well in the classroom and then building those relationships through our network of campuses.
Daniel W. Jackson: And it's brand. I mean it's a history. It's 100 years of these relationships and the performance of our alumni in these organizations.
Corey Greendale - First Analysis Securities Corporation, Research Division: Got it. And then just one last quick one for me and I'll turn it over. You're building your cash at this point. And since you pulled back on the dividend and opening new campuses, and you have been repurchasing shares, can you just give us your updated thoughts on usage of cash?
Robert S. Silberman: Sure. As Mark mentioned, we've actually 2 quarters ago went to a net cast positive position, offset our debt completely, we added to that this quarter. We -- in general, our view has always been that the best use of cash is investing in the University, because we think over time, that is the highest return we can generate -- that will create the highest return we can generate for our owners capital. Cash which is excess to that, we've had a history of returning that to owners in what we hope is the most value enhancing way, either through share repurchase or dividends. We've got -- we went into a position, about 18 months ago, of being in a debt position, in a net debt position. That was never intended to be a permanent change to the capital structure. I'm not sure that really makes the most sense for an academic institution. And so, our intention was always to work our way out of that. And as we worked our way out of it, we continued to make investments in things like the Jack Welch Management Institute and other growth initiatives. So our view, going forward, is to basically each quarter, look at our cash position through that same prism. Can we use the capital in the business? And if not, do we have sufficient liquidity to deal with any sorts of future opportunities? And beyond that, cash which is truly excess, we return it to owners in what we hope is the most value-enhancing way.
Operator: Our next question comes from the line of Peter Appert of Piper Jaffray.
Peter P. Appert - Piper Jaffray Companies, Research Division: So Rob, just following on to your last comment. Does that imply that perhaps we can see return to new campus openings at some point in the next 12 months, maybe?
Robert S. Silberman: I don't know about the next 12 months, Peter, because one of the things that we said 1.5 years ago was we had 2 concerns with regard to employing capital in new campus openings. One is the overall health of the economy. I don't think there's any doubt that it's firming for our target students, but it's firming at a pretty low base. You have to ignore headline unemployment numbers. They're completely meaningless. It's labor force participation which really matters. And particularly labor force participation for individuals with a high school degree and no college degree, and that is, remains very, very low, historically low, 50-year low. And then the second issue was clarity on a regulatory side. We're not quite there yet. And until we get both of those things on firmer ground, I think the Board has a relatively skeptical view as to new campus openings. And I doubt either of those will be resolved over the next 12 months. If for some magic wand reason those did happen, then we'd certainly -- we would look at it. But I think realistically it's probably will further out.
Peter P. Appert - Piper Jaffray Companies, Research Division: Got it. And given the success you've had with the Jack Welch initiatives, does that increase your appetite maybe to explore M&A opportunities?
Karl McDonnell: Well, we've always had an appetite. We just had never found targets that made sense, and we're constantly looking at things. The biggest difficulty is that education is a human capital, culturally based activity. And in general, M&A doesn't work well or at least in my experience hasn't worked well in those sorts of activities. And so we're very careful as we look at that. But there are others who have been successful with that acquisition. Certainly the Welch Institute has been, from our standpoint, a real home run. And so we'll continue to look at those, but probably with the same level of scrutiny that we have in the past.
Peter P. Appert - Piper Jaffray Companies, Research Division: Thanks, one other thing, Rob or Karl. Could you talk about how you're managing marketing expenses, how we should think about marketing expenses on a go-forward basis? Impressive you're obviously showing that growth as you're bringing those numbers down pretty substantially. Is that a new trend, you think?
Karl McDonnell: Well, at the beginning of the year, our view was that we were going to spend roughly the same amount in 2014, that as we did in 2013 on marketing. And through the first half of the year, we've been able to find some efficiencies that we didn't necessarily plan for. But as I said, were sort of opportunistic in nature. And so for the back half the year, our plan is to continue to spend what we budgeted, which on a quarter-by-quarter basis should be roughly flat with the prior year. But there may or may not be opportunities to get some efficiencies in some of the channels we used to advertise.
Peter P. Appert - Piper Jaffray Companies, Research Division: These efficiencies, it's not a function of significant shifts in mix, it's just you're buying better, you're finding better deals?
Karl McDonnell: It's a combination of things. It's reallocating dollars from one campaign, perhaps, to another. We have internally-based team that does our marketing mix analysis, and they've done a great job figuring out the best use of those dollars, given the context of what our purpose is, which is just trying to build as higher levels of awareness on the brand that we can.
Robert S. Silberman: Also Karl, isn't it the case that as our corporate alliance partners increase as a mix of the share, your marketing costs go down.
Karl McDonnell: That definitely helps.
Operator: Our next question comes from the line of Trace Urdan of Wells Fargo Securities.
Trace A. Urdan - Wells Fargo Securities, LLC, Research Division: So my questions could be pretty venal here, following on the last question. If you guys are going to spend the same amount of money on marketing that you spent in the back half of last year. The question I have is if you're going to maintain that $50 million cost reduction run rate, where would we expect to see -- would we expect to see sequential savings then on the G&A line from what you put up in the first half of the year and the second half of the year? Or are we looking primarily to the instructional cost line to see the sort of the balance of what you would need to do in order to hit the $50 million goal?
Karl McDonnell: I think it would be in the instructional and educational support line, Trace, not the G&A line.
Trace A. Urdan - Wells Fargo Securities, LLC, Research Division: So G&A, we're kind of at a run rate. And marketing we can look to last year for guidance, and so the difference will be made up in structural cost?
Karl McDonnell: That's correct.
Robert S. Silberman: That's correct.
Trace A. Urdan - Wells Fargo Securities, LLC, Research Division: That very high level insightful question is all I have.
Robert S. Silberman: And actually, Trace, in its simplest level most of that is the fact that there's 20 less campuses too.
Trace A. Urdan - Wells Fargo Securities, LLC, Research Division: No, no I get the concept. I just was sort of working on the math.
Operator: Our next question comes from the line of Suzi Stein of Morgan Stanley.
Suzanne E. Stein - Morgan Stanley, Research Division: Just a quick question on CapEx. I guess at $10 million, it looks like you're planning to come in at the low end of the range that you gave a while back. I'm just wondering if this is kind of a new normalized level, given the new structure of the business. I mean assuming that there are no campus openings planned? Or is there a point where you'll need to reinvest I guess either in technology or infrastructure, just trying to think about how to model this, longer-term.
Karl McDonnell: Yes, Suzi, as we had said before, the $10 million to $12 million we think is a good estimate for maintenance CapEx. And as you pointed out, we do believe we'll be at the low end of that, probably in the $9.5 million to $10 million and it's largely timing. Obviously, if we undertake a large infrastructure improvement or systems overhaul, or something like that, that would probably be outside of that range. But we feel pretty good about the $10 million to $12 million kind of spending that on an annual basis for the foreseeable future.
Suzanne E. Stein - Morgan Stanley, Research Division: Okay, and then what about share repurchases, where does those sit in just in terms of your priorities in terms of deploying cash?
Mark C. Brown: Well, Suzi, it is a way to return excess capital to owners. And what we've done in the past, when we felt we had truly excess capital. Capital which is excess to our needs in the business is look at both share repurchases and dividends. In the past we've been a common dividend and a special dividend payer, as well as share repurchases. So the share repurchases are done in our judgment. They should be done only in those circumstances where the market is giving you the opportunity to purchase the shares at such a discount to the intrinsic value that we can take that optionality away from the owner, because if we pay them a dividend, they can decide on an after-tax basis to buy more shares. That's -- it's more of an art than science to pick that intrinsic value. And I would say that in hindsight, my track record on that might not have been perfect. But it's the same discipline. It's the same concept. And when we have that excess capital, that's how we look at it, going forward.
Operator: [Operator Instructions] Our next question comes from the line of Paul Ginocchio of Deutsche Bank.
Adrienne Colby - Deutsche Bank AG, Research Division: It's Adrienne Colby for Paul Ginocchio. I was wondering if you could comment based on your enrollment results for spring and summer, is it your sense that the overall demand environment is improving?
Karl McDonnell: I think that as Rob alluded to, we're definitely seeing some firming in the broader macro economy. And I would also say through the first half of the year, the level of demand that we've seen has been improved, and up on a year-over-year basis. So the combination of those would lead me to believe that the environment is getting a little bit better.
Adrienne Colby - Deutsche Bank AG, Research Division: And I was wondering from a housekeeping standpoint, there was a bit of a step down in depreciation and amortization in the quarter. Was that just a one-time sort of thing or should we expect it to be at that lower level going forward?
Karl McDonnell: Well, certainly it stepped down relative to the prior year, because as you know we undertook a rather large restructuring in the fourth quarter. But it's -- I would expect the current quarter to be a reasonable run rate for the balance of the year.
Operator: Our next question comes from the line of Tim Connor of William Blair.
Timothy Connor - William Blair & Company L.L.C., Research Division: Based on what you said, low single-digit revenue increases for full year '15, if current trends continue, and then a 4% to 5% decline in revenue per student, that seems to imply that total enrollments going to grow in the high-single digits or at least mid-single digits next year. I'm trying to understand how you're going to keep the expense base flat on that type of enrollment growth?
Robert S. Silberman: Go ahead.
Karl McDonnell: Actually I was going to clarify that. I said overall revenue in 2015 would be down, not up, in the low-single digits.
Timothy Connor - William Blair & Company L.L.C., Research Division: Down low-single digits. Okay.
Karl McDonnell: But your point is -- your question is well put, regardless and it's an important one. And that is that over the last couple of years, we've seen a negative impact of what we consider to be a relatively high fixed cost business. And the reason is that because when you're providing an academic product, the core determinant of that is the quality of your faculty. And we add faculty slowly when we were in a much more benign demand environment. And some of our peers were growing at much, much higher rates. We limited our rate of growth to make sure that we could expand the University faculty and its oversight in a way that we could guarantee very strong levels of academic achievement. And therefore you're reluctant, we are reluctant, to reduce that precipitously or abruptly when you have a downturn in enrollment. So over a several year period, we had diminutions in our operating margin as our enrollment went down, our revenue went down, but our operating income went down at a much higher rate, because we were not cutting those expenses. We got to a point last year where we were essentially running a University that was built to educate 70,000 students, and we had what Dan, 35,000, 40,000 students. And so we made a pretty significant structural shift, and brought that cost base down. When we did that, we've remained invested in the faculty and in the academic quality. And because of that, we essentially, we had empty seats in the classrooms. And as you fill up those seats, it is a very high incremental operating margin per student. And so the answer to your question is, we would expect to have our cost structure stay relatively the same and be able to handle significant more students, because we have unused capacity in our academic institution at this point.
Timothy Connor - William Blair & Company L.L.C., Research Division: What's the level of incremental margins on kind of each new student?
Karl McDonnell: Well, it's relatively high if you got an empty seat in that classroom, it's like a seat on an airplane.
Timothy Connor - William Blair & Company L.L.C., Research Division: And what are you seeing in the Midwest in terms of conversion rates now that you've distanced yourself couple of quarters from the campus closures. So you're still seeing some impact, positive impact of having campuses there, or is it similar to other regions in the country where you've never had campuses?
Karl McDonnell: Well, the retention of those students that we had when we announced the closures is basically at the level we expected. And we do continue to get some new students in those markets who are taking their classes 100% online. It's down, obviously, but we still continue to get students, despite the fact that we pulled all of our advertising dollars out of those markets to repurpose them in other markets.
Robert S. Silberman: I would say it's probably similar to other markets where we don't have campuses. Maybe slightly better. But it's there.
Timothy Connor - William Blair & Company L.L.C., Research Division: Okay. And the average revenue per student say then over the next 6 quarters, you've been very specific about it. What point would you get to a point where revenue per student could grow, either through the tuition increases or just a full phase-in of the new pricing structure?
Karl McDonnell: I think that the bulk of the declines will happen this year and next year. And again, it depends on many factors, including the rate at which new students enroll and the mix between undergraduate and graduate students and so forth. But as I said, what we've seen and what we would expect is that we would grow our overall enrollments again based on our current enrollment trends continuing by the second quarter of 2015. And based on what we've seen, we would see revenue growth follow that 2 to 3 quarters later. Which means by the time you get to 2016, that would be the point where the change in our overall enrollment on a year-over-year basis would become a good proxy for the change in revenue itself.
Robert S. Silberman: And also Tim, I think it's fair to say that this is a different business than it was 4 years ago. I don't expect to see increases in revenue per student from the undergraduate student. I think the cost of education has become such a large issue in society and in the economy as a whole that makes more sense to have a undergraduate tuition which is set, which is relevant to the student, which is competitive with other choices that they have. And that the days of real increases in tuition just being passed through, I don't see that over the next -- over the foreseeable future. At the graduate level, not just at the Jack Welch Management Institute, but you have to look at the relative price of our programs versus the ones that we compete against and the ones that we hold ourselves up to academically. We're still quite a bit below those. So there may be some increase in tuition over the next 5 or 10 years at the graduate level. I wouldn't plan on it on the undergraduate level. I just don't think it's realistic.
Timothy Connor - William Blair & Company L.L.C., Research Division: Okay, thank you. And then final one for me, you mentioned some firming in the macro economy. So do you think there's -- do you think the business is largely cyclical at this point based on what you're hearing from students coming in, or the current enrollment base?
Karl McDonnell: Well, if you go back many, many years and you read sort of the debates about this and the discussions, for a while, many of the analysts, many of the investors and managers talked about this is a countercyclical business. In my judgment it's never been countercyclical for a regionally accredited, first-rate academic university because the cost and the time commitment of going back to school as a working adult is such that if you are unemployed, if you're not or you're very, very, very worried about your employment, you're not just going to make that commitment. And so I think the best way to think about it is within -- it's cyclical within a band. You get below a certain level of economic impact and it's very, very cyclical. And we've had that I think since basically mid '09 on. 2010 there was a bit of inertia that was flowing through the system. But the wall for despite everybody it was the fall enrollment of 2010. If you get well above that, in a very, very confident economy, but one which is shifting from a manufacturing base to knowledge base, I think you'll get cyclicality on the top side there. Within that, it tends to be sort of an acyclical business, and we haven't quite, I think as an economy, reached the level where we're at the bottom of the floor, if you will, to get you into that acyclicality. We're still I think somewhat cyclical on the downside. And as labor force participation rates gain, as employment grows, which I don't know when that will happen, by the way, I'm not predicting that. But I just think, theoretically, as that happens, you get it back into more of an acyclical environment. At least for, as I said, recently accredited working adult focused, full-fledged universities.
Operator: Our next question comes from the line of Jeff Volshteyn of JPMorgan.
Jeffrey Y. Volshteyn - JP Morgan Chase & Co, Research Division: First could you share a little bit more color on the trends in new enrollments and continuation rates by the area of study?
Karl McDonnell: Well, the trends in continuation rate are pretty broad. We've seen them both at the graduate and undergraduate level. And really across most of our programs. I would say that IT has been particularly strong, but we've seen increases really across the board. And new students, as I said in the opening remarks, our national accounts continue to do very well. And with the firming of the economy that we've talked about today, the unaffiliated undergraduate student has started to show improvement as well.
Jeffrey Y. Volshteyn - JP Morgan Chase & Co, Research Division: That's helpful. And now that Jack Welch Institute is kind of growing a little bit faster as it is today, can you just update us on how long the students stay in the program based on your experience? What percentage of revenue the organization has as percentage of total? And if there's any sort of seasonal trends that are different from the main University?
Karl McDonnell: We haven't really seen any seasonal differences. The revenue -- the percent of revenue that's coming out of JWMI is relatively small. As I said it’s less than 700 students, but it's showing really strong demand. And as I say, their total enrollment grew 50% in this quarter. So we see it as a long-term investment. We get a very strong feedback from students. JWMI's Net Promoter Score is in the 70% range, which competes well with the best-in-class companies across the U.S. So we think it's an important part of our future growth for sure.
Operator: And with no further questions in queue, I'd like to turn the conference back over to Mr. Silberman for any closing remarks.
Robert S. Silberman: Thank you, Ben, and thank you, ladies and gentlemen for participating. We look forward to talking to you in October. And if anyone has any questions, please follow up with Mark or Dan directly. And as I said, we look forward to talking in October.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program, and you may all disconnect. Have a great rest of your day.